Ivan Vella: Thank you. Good morning, everyone. Thanks for joining us again. We'll drive straight in. Kath's with me again for our session today. We will, as usual, just run through a few reflections on the quarter and then open it up for some Q&A. I wanted to just start by also noting the change in our quarterly reporting structure. We flagged this a couple of times over the last 4, 5 months now, and you'll see that changes come through. We see that as being more aligned with our peers, simplifying the reporting and obviously reducing the load across the team, as we look to simplify the business and streamline things. So we'll pick up any other questions as we go once we get into it. But look, let's dive in, first of all, on safety performance, the quarter, I guess, was a tale of 2 halves almost. We actually saw a number of injuries in the first half of the quarter. And despite a lot of great work by the team and focus on safety, we didn't see the trends pointing in the right direction. There was a big intervention and a huge amount of effort on proactive safety interactions increase on pre-task hazard assessment, real increase in effort, and that definitely delivered some results. As I've said on all these calls since I started, there's still a lot of work for us to do, but I'm very pleased with the steady progress that we're making, as we improve our safety culture and make that more resilient, more sustainable. The work, obviously, is now much more focused at Nova, as we ramp down Forrestania, and I'll speak more to that in a minute. I actually was back at Nova a couple of weeks ago for our just general site visit and some field time. And you can see the team is very focused on their safety and on their operating performance, and that's another key area that we saw a challenge through the quarter. The grades were certainly lower than expected in this quarter. We did expect a lower quarter, but they were lower than that, and that affected recoveries and effectively compounded our nickel performance. But I was very pleased to see the Nova team working hard on that, both in terms of getting the very best they can out of the mine, creating more optionality. And as you know, as we work towards the end of mine life, these challenges are growing. We have less flexibility, but they're doing a lot of great work to manage the scheduling and to get the best from it. Again, I'll talk more to that as we get in. Overall, the dynamics in the lithium market are pretty challenging. As you all know, the prices are very depressed at the moment. That said, Greenbushes had a great quarter, performed well, good production. Obviously, the sales were down a little, given that we didn't have that 200,000 tonne shipment that we had in the prior quarter, but overall, a good steady quarter across that part of the business. And the team, there is just continuing to focus on improving and refining and optimizing that operation. If I dig into Greenbushes a little bit further, we saw that uplift in production, and all of the plants were running well, delivering a great outcome and that affected our unit costs, obviously, averaging them down. We saw some higher feed grade and improved recoveries also coming through affecting that result. Great performance and great to see the potential of Greenbushes, puts us in a good position as we sort of start the financial year. As I mentioned, sales were lower quarter-on-quarter with the 200,000 tonne in the prior quarter that Tianqi placed, and we previously discussed that. We expect production to stabilize back in line with our guidance going forward. So we're not suggesting any big shift there. Our prices obviously realized $872 per tonne indicates that lower level that we're seeing across the market. Still generating good cash returns and margins for Greenbushes, given where its costs are at, but nowhere near as attractive as it was. I also spent some time actually last week at Greenbushes, the Windfield Board met on site, which was great. It was a really good opportunity to spend time with the other Board members and also with Rob Telford, the new CEO. He's -- I think this is week 4 for him. And he's doing a great job getting up to speed, getting to meet the team, connect with the business and understand where he wants to focus. There are a lot of things to do, and he's prioritizing that really thoughtfully. So it's fabulous to see the momentum he's building up with the team. Overall, look, we continue to see Greenbushes as very stable, reliable production. Right through this low point in the market, it's performing and delivering a great outcome, I think, as you'd all expect and we'll continue to work on improving and optimizing this outstanding asset. Moving on to Kwinana, look -- and I'll keep it brief, there's not too much to share. Obviously, a lift in production through the quarter to 1,500 tonnes, which was just showing the good work the team has been doing around stabilizing the operations of the plant, the refinery. But ultimately, everything is focused on the shutdown, which has been underway for the last few weeks and is wrapping up as we speak. I'm really excited to see what outcomes we get from that and how that affects the performance of the refinery. The team put an enormous amount of effort into preparing and planning for that, a lot of equipment and materials brought to bear to complete the shutdown and to do that safely. And so the next step will be seeing that ramp up through this quarter and how it starts to perform with all of the changes that have been made and the improved reliability. On nickel, I already mentioned that we had anticipated lower production this quarter, but grades achieved were lower than expected and that also had a compounding impact as it flowed on to recoveries, and we dropped a couple of points there as well. That underperformance obviously affected our quarter-on-quarter costs as well flowing through there. The team did meet their production rates in terms of mining rates and processing and so on. So it really was about grade and recoveries flowing through impacting the business. They're working through the rest of the stopes that we have planned this year and just seeing if there's any more that we need to understand in the ore body as we progress. I guess more importantly, what we are looking forward is optimizing the performance of the mine right through to closure. And naturally, to the extent, we can bring that forward, we will, and that will allow us to amortize fixed costs over a shorter period and improve the value available. We are more constrained. So the team is trying to manage with a much more difficult set of options in front of them, but doing a great job. And I think as we finish that next set of planning, we'll be able to see more as to what we see in terms of Nova's run through towards finish. The plants actually just gone into shut at Nova over the weekend. And this will probably be the last time they do a mill reline. I guess, it's an indication of certain maintenance activities that will start to run down now and not be repeated, and we'll see that flow through obviously in our costs as we manage that. But overall, everything -- the assets are healthy and running well. It really is tests about now getting the very best out of the ore body. Beyond that, I wanted to talk about Forrestania for a minute. So we had a major seismic event in late July, and that brought forward closure a few months. The team are well prepared for that. They manage that safely and have now completed that transition into care and maintenance that happened 2 weeks ago. They've safely ramped down the assets. And as you know, we're working through discussions with Medallion to see if they have some interest in continuing another story or chapter for Forrestania. But I did want to take a minute to recognize this was a mine that opened in 1992, originally under the operatorship of Outokumpu. They started producing from Flying Fox in 1998 and eventually transferred ownership to Western Areas who ran that for quite a long time, also building the Spotted Quoll mine and producing a lot of nickel for many years from it. So there's been a lot of people through the industry involved with Forrestania over the years as a nickel business. And certainly as far as we can see, that's the end of it. Those 2 ore bodies are well and truly depleted, and we're going through that process of care and maintenance now, but something definitely to celebrate and recognize, a long history there and a great story of success over many years. On our financial results. Look, as we noted -- as I said at start of the all, a weaker quarter, generally, the contribution from TLEA from a combination of lower sales and prices as well as our nickel business were all drivers of this. Given the prevailing market conditions, we didn't declare any dividend from TLEA, which I'm sure you'll understand is prudent and makes a lot of sense in this current environment. We saw the underlying group free cash flow reflect the absence of that dividend and obviously some lower returns from Nova. The shipments from nickel are now going out through the port instead of Kambalda, and that's just delaying some of the payment timings and affecting our cash flows as well, but that will true up in due course. That's a flow-on from obviously, the nickel west change that we saw unfold 3, 4 months ago. We finished the quarter with $250 million -- $259 million of cash and no debt. And we've also been obviously progressing the review of corporate and exploration. And those changes are largely implemented now and will start to flow through in cost reduction quarter-on-quarter through the rest of this year. Before I throw open for questions, I just want to just spend a moment on the strategy as well. Another key milestone through the quarter just after our annual results, we're in Sydney for the release of our refreshed and renewed strategy. I'm sure many of you sat through that, and there's a great piece of work. Again, I wanted to complement the team who worked very hard to pull that together. Just to touch on some of the headlines there. Look, we're still very much a purpose-driven organization focused on our role around the energy transition and the contribution of minerals and metals, particularly in the battery materials segment, a focus on 3 major commodities: lithium and through our partnership with Tianqi Lithium and the TLEA JV, copper and nickel, not to say that other commodities are completely off the list, but that's really where our focus is. We continue to look to build out a portfolio around our exploration capability, development and operations. And in lithium, obviously, with Greenbushes or our interest there as a bedrock, generating great cash and returns through the cycle gives us a fantastic foundation to work together with the Tianqi to build on that strength. In copper, we recognize, of course, the challenges and the strong market interest there so very difficult to do things. Equally, we think we bring quite a lot to that space given our exploration capabilities and operating capabilities across different mining techniques. So we'll continue to look at that market and try and understand where that we see opportunity. And of course, nickel, which has been a big part of IGO's history now for some time, it's something that we deeply understand and have a lot of experience in. Equally, we recognize that to find value you need a very high-quality resource, and that's certainly challenging. They're very difficult to come by. So we'll continue to keep our focus out there. Beyond that, the themes that we are building out around our capabilities, exploration and development, continuing to focus on that. We believe strongly in our exploration capability and the need to bring more critical minerals to the market. We are certainly transforming the way our exploration organization is working and refocusing both from a ground position and tenement holding point of view, but also in terms of how we deploy that capability that we have, but it's something that we strongly believe in, albeit with a reduced budget or allocation in that space. Partnerships. And I've mentioned Tianqi a couple of times. That's a foundation piece for us. But equally, we have a number of other partnerships that we lean on through our business, JVs in our exploration space and beyond that we believe are critical for success. Building out our commercial capability is something that Brett started to work through, and we believe that's important, particularly as we understand the very volatile market of lithium and how we can better draw value from that. And lastly, the playbook, which is a means of both enshrining and documenting and capturing the way that we do mining, the great capabilities and strengths of IGO and distilling that into a single set of information and documents that we can draw on as we continue to look and grow the business. Beyond that, our value proposition, and I guess, who we are as a mining company, I think, has captured on this great slide. Starting with our culture. The strength of our culture is absolutely key. And obviously, the business has been through a lot of change in the last 10 months, and that's very challenging and painful for our people seeing that kind of change. The number of people have left the business, as we've made the restructure in our corporate and exploration teams. But the core of who we are remains. That's based around our values and our purpose and continuing to focus on being very people-centric, being an ethical and responsible mining company that's focused on partnering well with the stakeholders that we have around our operations. We continue to seek to be diversified as I've mentioned, and we think that's valuable, particularly given our interest in the lithium markets and industry. Greenbushes, as a core part of that asset portfolio and a source of cash flow for our business, our exploration capability that I've already mentioned continuing to build on our operating excellence and that track record. Our strategic partnerships, obviously, with Tianqi in the first instance, but then also with Albemarle through the joint venture at Windfield for Greenbushes. And finally, a renewed leadership team that's just getting up to speed and building some momentum together. So we've got all the ingredients to succeed, and we continue to work hard to optimize the base of assets that we're looking at currently and then look forward to the right options for growth beyond that. So look, I'll wind up there and try to open for some questions and then take it from there. Thank you.
Operator: [Operator Instructions] Your first question is on the phones from Daniel Morgan with Barrenjoey.
Daniel Morgan: Great production result at Greenbushes. You are ahead on a run-rate basis versus your guidance so doing very well. Does that mean that there may be upside risk? Or implicitly, does that mean in future quarters you're expecting production to slow down from these levels?
Ivan Vella: Yes, Daniel, look, I can't give you any more than our guidance. We had a great quarter. I think it shows the potential of the assets, but there's no expectation we're going to shift our guidance at this point. Obviously, if that does move for some reason, we'll let you know. But I think the big takeaway is the capability of those assets on throughput and recoveries and the potential that they offer.
Daniel Morgan: And I guess just a follow-up. Obviously, you did flag changes to disclosure coming and that's come through today. Just wondering if you could expand a little bit on this being in the best interest of shareholders with respect to you are, I guess, mostly moving to a holding company with respect to a lithium interest and achieving the best market rating for your business? Doesn't that come with a reasonable level of disclosure necessary to achieve that?
Ivan Vella: Daniel, yes, look, I think we’re very committed to transparency and disclosure and that openness. I think we’re just looking to balance that with the demands on the team. I’m going to keep this business simple, lean and low cost. And we’re just bringing our disclosures back in line with the market. I think as we’ve done some benchmarking with our broader peer group and positioned where we were and where we are now. We think this is very much consistent with the rest of the market, hence why we’ve looked to – or sought to simplify what we were doing.
Operator: Your next question comes from Matthew Frydman with MST Financial.
Matthew Frydman: Sure. And maybe, I guess, following up from that discussion. Obviously, the reduced level of disclosure today does make it a little bit harder to see what's going on in Kwinana. And if we look back across the kind of history of that business, obviously, a number of quarters that have been impacted by inventory movements, et cetera, et cetera so pretty hard for the market to get, I guess, a sort of clear view on what the real sort of underlying cost base and profitability of that business is. You're going into the shutdown. Clearly, you're investing some money into that asset with a view that one day it can be profitable. So can you kind of maybe give us a bit of a simple sort of boil down guide as to really how many tonnes does Kwinana need to produce and sell a year for that asset to be breakeven or to be profitable? What's the goal for where you want to get that asset to deliver profitability?
Ivan Vella: Thanks, Matthew. Look, a tough question. There's so many parameters and variables as you can appreciate your model a refinery. The -- I guess the simplest way I would state it is -- the goal is that we ramp it up to nameplate. I mean that's what the engineering was intended to deliver and that's what the team are working towards. I think they've got a clear plan in place there to achieve that. I think when you talk about profitability, that's a much more complicated answer given the prevailing price conditions, which look very depressed and certainly seem to be the consensus is that's going to hold for some time. So I think my focus is really just on supporting the team on the operation of the asset, minimizing the delays and outages and challenges they have with stability, making sure they can get the best production out of it and obviously then tuning their costs so that we're as lean and as efficient as possible. If we were to look at broaden out your question a bit, I'm sure you look at the best refineries in the world run in China and benchmark their performance, even those with some of the lowest costs in the industry are still only just marginal in the current price environment. So it's pretty difficult to deliver a lot of returns in this current situation, but it does come back to just running a very healthy productive asset. And I think the broader challenge speaks to capacity in this space, of course, can be built fairly quickly, and that's always going to impact margins in the long term. So that's a key point we have, and we'll consider obviously in how we think about this part of the industry.
Matthew Frydman: Yes. And maybe more of a follow-up comment and a follow-up question. But yes, obviously, fully appreciate that there's lots of complexity in running a refinery and price and the cost base and all of those things feed into the equation of profitability. But obviously, today, you've kind of reduced the number of those or the reduced visibility on some of those elements that the market can see. So yes, perhaps a little bit harder to -- for the market to get comfort with that.
Ivan Vella: Yes. Okay. Look, yes, I mean, as I said, it is about to simplifying our quarterlies in our half year and annual results. Naturally, we’ll be providing much, much fuller disclosures and that will give a picture that coming up soon. I guess – I understand this sort of tension. We’re trying to simplify the business, reduce our costs equally give you as much as we can. On the other side of it, obviously, the assets still in ramp-up and has been through a lot of challenges and hence, that’s why there’s a focus as we get through and see a bit more under the covers of how it’s performing through the shutdown and beyond, that’s going to give us, I’m sure, a lot more confidence in what comes next.
Operator: Your next question comes from Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: My first one, just on the JV cash flow. As you said, no dividend out of the JV, not surprising, just given the market conditions and the upcoming CapEx through the different vehicles. The Greenbushes as a stand-alone, even after growth CapEx, it still appears to be making cash. I guess with the accommodation village spend rolling off at the end of this quarter, growing confidence in probably remaining CapEx at CGP3. Is that project nears completion? How do you think about, I guess, if market conditions stay flat, that return to dividends? Should we be expecting returns to the dividends out of the JV in the next quarter? Or is that more of a second half piece?
Ivan Vella: Hugo, look, I'd love to have a crystal ball to roll it forward on price and see what that did. It's something that we can't guide on dividends at this point and tell you what's coming. We'll take those decisions, obviously, at Greenbushes and TLEA with our JV partners and just be prudent and thoughtful about how we manage liquidity and cash going forward. So I can't really give you a straight answer there on, yes, we are, or no, we're not. The point is what we are focused on, which I think is the most importantly, there is the operating performance of Greenbushes, driving -- the production driving the cost out of that business and optimizing its long-term future is key. It's something that all of the JV partners are very focused and aligned on. Rob is up and running and working with his team on that, and I continue to be very optimistic about the potential of the business to show that performance. So for me, that's what's key because that's the core of the cash engine. And then the decisions we take will be based on the context at that point in time.
Hugo Nicolaci: Got it. And then just a follow-up around the performance maybe extending from Dan's earlier question. If I run the physicals back through, it looks like there was a combination of either increased utilization or recoveries during the quarter. Are you able to just give us a bit more color on that processing performance? And maybe just remind us of how the mine physicals with regard to stripping grade are expected to move from here?
Ivan Vella: Sorry, the line is a little bit unclear. I think I've got 2 parts there, and the second one we might have come back to. So in terms of just giving you more on Greenbushes, as I said in my opening remarks, throughput and recoveries, the team are continuing to work hard. And as you can expect, they'll always be pursuing improved recoveries. The plants were all running particularly well. It's a function of just managing downtime and the performance through that. And the other factor was grade. So as you know, Greenbushes has the privilege of having very high-grade ore body in pockets. And so at times when that flows through, that's also going to lift our performance. So normal factors, nothing there that's special or surprising. I think it just shows you the potential for those plants in terms of what they can process and produce in the quarter. The second question, I didn't quite capture. I don't know if that was about the mine.
Hugo Nicolaci: Yes, it was just on the mine piece around how you expect physicals like stripping and grades to move from here. I think if I go back historically the Tianqi's perspective, and we were expecting maybe a bit of a dip in mine grade over the next maybe 12 to 18 months and elevated strip. So just any sort of updates there?
Ivan Vella: Yes. Look, I think what I can say is that the mine is ramping up in volume and scale, as we progress that ore body, the main load and then Kapanga in the next few years. The run rate in terms of the volume material moved is stepping up significantly, and that’s underway and that will just then continue over the coming years. I don’t think there’s anything particular there to see. Obviously, we’re going to bring CGP3 online once that’s complete. And between the 3 plants, we’ll manage the grades across them to optimize processing. But there’s nothing in the near term or specific that’s different that I should be commenting on there. I think it’s just this mine starting to sort of hit its stride as a large-scale mining operation with material volumes and just getting into a good rhythm and managing their costs and performance accordingly.
Operator: Your next question comes from Levi Spry with UBS.
Levi Spry: Maybe just continuing on with the Greenbushes production output sort of line of questioning. So 1.6 million tonne per annum annualized run rate, how do we triangulate that with your guidance? And then what is the update with CPG3? How is that included in your guidance?
Ivan Vella: Okay. Levi, yes, I sort of touched on the first already. It's just one quarter. You shouldn't try and multiply this before that we are not changing our guidance. That still stands. I think, as I said, just shows the capability of the asset, but it will be a function of timing of grade and other shutdowns and so on through the year. So hence, why it's not good to just take a quarter and multiply it to get an answer. So the takeaway is that guidance remains the same, no change there. On CGP3, look construction is continuing. As I said, I was down there last week, we had to walk down on site. They're very busy working through that. Wet plant is well and truly visible now. The dry plants well-constructed as well. So good progress on that. And we'll provide a more fuller update on that in due course.
Levi Spry: So just confirming, it's not included in guidance?
Ivan Vella: No. So no, it was only ever due to start its ramp-up in the next financial year. So sorry, I did -- I missed that part of your question. Yes, it's something that will come in to FY '26.
Levi Spry: Okay. And then back to the disclosure piece, are we able to get some sort of EBITDA waterfall for the, I guess, things like Kwinana for the nickel outside of Nova?
Ivan Vella: I'll throw the Kath on that.
Kathleen Bozanic: We'll take that on board and consider that for the next one.
Levi Spry: And today, Okay. Maybe I'll talk to you later about it. Yes.
Kathleen Bozanic: Yes, we’ll take that offline.
Operator: Your next question comes from Tim Hoff with Canaccord.
Tim Hoff: I was just looking at the Nova results. The mine tonnes is arguably -- I think it's the lowest since you've reported data. Just wanted to go into that a little bit more. Is this something that's just a result of the lack of optionality? Or is there something more structural going on here? It just seems like it's a fairly big anomaly.
Ivan Vella: Tim, yes, look, nothing structural. It wasn't like there was some major issue. They really just saw grade decline. And we expected lower grades from these couple of stopes, and it came in lower than we expected, and there was some MGO in that, that affected recoveries or compounded the impact on recovery. So just a couple of factors that all hit at the same time. And it came off the back of a very strong prior quarter, as you know. So it's not something that we're drawing a line and saying, that's what you roll-forward either. But I did want to also make sure everyone was clear that we do have less optionality. It is more constrained and therefore, if we have issues, that's going to affect our production. Hence, why we're trying to really schedule this very carefully through to the end of mine life and optimize it. But no, it was nothing -- there was no one-off event or big structural impact that caused this.
Tim Hoff: Okay. And then perhaps looking at your exploration budget, it's, I think, at $23 million. It's almost half of your annual guidance. Is that meant to drop away fairly strongly from here? Or is there some tweaks to that number potentially?
Ivan Vella: Yes. Look, it will. I don’t think that’s indicative. I mean, partly the field season and the timing of drilling and other holding costs and so on. So it’s not something that’s a straight line. We still very much expect to come in under $60 million as per our guidance for exploration for the year.
Operator: Your next question comes from Rahul Anand with Morgan Stanley.
Rahul Anand: Look, first question is on Greenbushes. Just following a bit in terms of the operational performance there. Could you help us perhaps understand where the strip ratio sits currently. I mean if I use last couple of quarters and try to think of TMM and try to extrapolate that, it seems like we're still in the double digits in terms of the strip, but obviously, the plans got that coming down in the near future. And then you've also got a great uptick. So how are you tracking to that plan, I guess, is my question in terms of strip and grade. That's the first one.
Ivan Vella: Yes. Look, Rahul, we are obviously pushing back that western wall. I think that's been something we've talked about previously. And naturally, that keeps us -- keeps busy. It exposes another whole big chunk of ore down the track. Through a big mine like this, we're going to have these periods where we've got elevated strip on a relative basis. And Kapanga will be the next big phase of that when we start to open that up in a few years' time. Again, as I said, there's nothing there that's different or a surprise from what our plans or intent was. We continue to basically expand that mine and create the options that we've outlined already.
Rahul Anand: Okay. Look, and then perhaps the follow-ups on Nova. I just wanted to touch upon -- if you can provide a bit of visibility in terms of -- obviously, you had a bit of a grade upset this period and others have asked about recoveries, et cetera. But I wanted to check, I mean, would you have handy what the drill spacing is at the moment for these stopes, because I understand that at the start of the mine life because of that grade variability, a fair bit of drilling was done, and it was at that time, understood that there was sufficient drilling available pretty much till the end of the mine life to make sure that this variability was minimized over time. But we still have that variability, and I understand, obviously, this mine is a tough one. Does this mean -- like what's the path forward to create a bit more predictability? Because you've talked about your cost being to the top end of guidance already, but you haven't really talked about your production numbers today. So I'm just trying to square everything up into perhaps the drilling side and see sort of when do we see some of that predictability come back into the plan?
Ivan Vella: Yes. It's a great question. So look, we are increasing some of the drilling into our forward stopes. I think more importantly, also some production sampling as part of that, which is something the team hasn't done a lot of in the past. I mean Nova has been a very privileged ore body and something that, that behaved extremely well. It was very predictable, very consistent. Now we're getting to the edges that's a little less consistent. And so we're going to do some more sampling there to help us look ahead and also give the mill -- it's a mine-constrained asset. And so with all of that mill capacity, the more heads up we can give the processing team, the more they can manage and adjust accordingly if there's a shift in the ore grade or composition and characterization. So look, your questions are right. They're all things that we're working on with the team at the moment, and I expect that will give us a better control and stability or less surprises, I guess, on grade, as we get into these remaining stopes.
Rahul Anand: Just one quick one, I guess, in terms of that grade and trying to maximize throughput, I guess. Do you reckon this period? You probably, as a site team, try to see if you can expand that throughput and in the process went to the halos of the ore body and pretty much ended up having a bit of dilution, and that's kind of led to this upset and then you can get back on track in the coming quarters. Is that the way to think about it?
Ivan Vella: Yes. Again, sort of. I mean, the 1 stope, we certainly did see some over break and some dilution, which affected grade, but I don’t think that you could put this quarter down to that as an issue. It was a contributor. And we are literally working through that question you’re posing, which is rate of recovery of ore versus grade impact or in terms of total metal contained as a trade-off. So it’s pace versus metal and optimizing that and keeping that in context of our overall business costs and the total cost for Nova and processing. And we want to optimize that, naturally chase the best value we can from the remaining couple of years of life of this mine. And that means a different operating methodology or mentality across the business. It’s different from where we’ve been in the last 7 years or 8 years now. The team is working through that shift at the moment and the kind of thinking they’ve got to do technically to optimize it. And that should translate through in our results. I mean, obviously, we can’t change the ore body, but we can get the very best out of it from a value point of view, which is what we’re focused on.
Operator: Your next question comes from Kate McCutcheon with Citi.
Kate McCutcheon: I just wanted to follow up on the TLEA balance sheet. At the end of last quarter, there was $200 million-ish cash sitting in there, I think. And this quarter, your share of profit from TLEA was $37 million. That would imply that that's a bit under $300 million on that balance sheet. So in regards to the rationale for not sweeping out cash this quarter, is there a read-through for cash going into Kwinana here? I guess even though the lithium pricing is weak, but that's profit coming out of Windfield despite that backdrop. So maybe just some comments on how you think about the balance sheet in TLEA and what are the key things to think about for that cash balance or CapEx coming up?
Ivan Vella: Thanks, Kate. Look, I won't try and confirm or get into the numbers because then we're sort of starting to increase our disclosure again. But what we're doing is just taking into account the forward view on the lithium market, which is pretty depressed. Obviously, we're very pleased with the way Greenbushes performing and delivering in the margins it generates. But equally, with the capital and the work that's going on there, just making sure we're prudent, both at Greenbushes and the TLEA in terms of how we manage our cash. I guess we went through this cycle earlier this year with a sort of a similar step-down when the lithium price first fell dramatically. And we will continue to look at the situation in the current context, which is all we're doing. I think it's important that no one reads this as long-term decision or anything more than a one-off in the context. We sort of look at our cash core requirements and say, what's the best thing to do and give ourselves a quarter to understand things further, and then we can release more cash. And I think we did that in a step in the last 6 months, and we'll continue to make those decisions case by case. Kath, I don't know if you wanted to comment any further on the...
Kathleen Bozanic: Kate, obviously, we'll provide more details on what the cash balance and the balance sheet looks like each half. So, we gave that information as you've already mentioned at this half, and we will update that in our annual report -- in the half year report coming up in February, but Ivan has explained it fairly clearly there, I think.
Kate McCutcheon: Okay. Yes, yes. I mean we can just, we can just -- we can back it up from what you've given us, and I was just wondering what I need to think about for sweeps out of that going forward? Maybe just Levi's question so EBITDA of negative $3 million. You've disclosed the profit out of TLEA. We've got enough parts of the equation in Nova and Forrestania, but reduce disclosures make it more challenging. Is there anything else going through chunky in EBITDA to get to your group number to sort of flag aside from corporate costs?
Kathleen Bozanic: Obviously, exploration and corporate costs are going through. And we also in there have a number of listed investments and as they track up and down each quarter depending on what their share price is, it goes through there, and that's variable quarter-to-quarter. So you just need to factor that in. The important thing, and you know we've got enough information -- you've got enough information there around sort of what's happening with Nova and Forrestania. Just bear in mind that Nova was -- and Forrestania, were both impacted by delayed shipments. And therefore, it's not a steady run rate going forward because it becomes lumpy from a sales perspective. And the last thing that I would add to that to give you a bit of flavor is Cosmos is ramping into it standard state of care and maintenance. So, this quarter was the last quarter where we'll see a little bit of variability in Cosmos, albeit it is immaterial in the context of the broader scheme.
Kate McCutcheon: Okay. And that's helpful. But Cosmos was capitalized, was it this quarter?
Ivan Vella: No.
Kathleen Bozanic: No, no. It’s in all going through the P&L.
Operator: Your next question comes from Kaan Peker with RBC.
Kaan Peker: Just on Nova, following up on Rahul's question, do you expect mine constraints to ease next quarter or December quarter and also the MGO levels? And you've talked about a change in methodology possibly. Would that require additional CapEx or development? And I'll circle back with the second.
Ivan Vella: Okay. Maybe I'll pick up the last point first. So definitely no additional CapEx. It's not sort of that -- sort of change. It's more just thinking about how we're sequencing scheduling and equally, how we look at the stope and what we extract from it and the rate at which we extract that. So that's the kind of shifts that we're making. It's not a change in the mine that requires more capital. In terms of next quarter, look, we are expecting it to be better than the last quarter. It's something that we're working through to get more understanding in detail. I can't obviously give you a number for the quarter, but I don't know what quite you're chasing there. Just if you're concerned that it's going to be the same, no, we're expecting it to step up again, but what I guess I'm trying to do is work with the team to understand that full run through the next 2 years, try and get much more certainty and granularity about sequence in how we do that and how we accelerate it. That's the key challenge in front of the team.
Kaan Peker: No, understood. I mean, what I was trying to get at is Nova has essentially been operating below expectations for arguably 9 months, and now we've had another issue with grade. So it probably goes to Tim's question before how structural is this. But look, we'll see with the December quarterly. But just on the second question. On current spot pricing and current guidance, do you envisage a dividend from the TLEA JV this year? And I'm sure for the specific needs for IGO's own budgeting, it would have been figured out.
Ivan Vella: Well, Kaan, look, we’re just – we’re not in a place to forecast a dividend one way or the other. That’s something, as I said, we’ll make that in the context at the time. We’ve done that now for the last 9 months in these market conditions, and we’ll obviously look at that next quarter as well. So again, I’d look at the decision we’ve taken this quarter in its context as a stand-alone decision given the information that we have, and we’ll revise that as we learn more.
Operator: Your next question comes from Jon Bishop with Jarden Group.
Jon Bishop: Just regarding, I guess, the optimization work down at Greenbushes and respecting that Rob has only been in the chair for a month or so. You've talked several times on the call around anemic lithium pricing outlook. Can I ask if some of the optimization work that's been ongoing now at the asset is taking that pricing into consideration. And therefore, could we expect, I guess, that work to be dovetailing in with decision making around CGP4?
Ivan Vella: Look, Jon, I think with a world-class asset like Greenbushes optimizing the performance and the return on capital from the existing asset is something we should always be doing. And we are, and I'm sure Rob will bring a lot of momentum to that. For me, that's just good business in an asset like that. It's always going to generate strong margins through the cycle. I think we've seen that now through several lithium cycles. It performs and really does define the floor of the cost curve for hard rock. In terms of CGP4, what does it mean? Look, CGP4, as I've said before, is always going to be read in that broader context of what are all our other options to bring more production to meet our customers' demands. And as you can appreciate, Albemarle and Tianqi customers as well as interested shareholders. But while they make a call for the product, we want to make sure we're doing that with the lowest capital options we can and expanding and optimizing -- the existing assets will always be a better option than building a new processing plant. So then it just comes to timing, when is the right time for CGP4 and where does that fit? And of course, the challenge there is the crystal ball on the lithium market, not getting that too late or too early is going to be key in our thinking. But all -- that will all come into the broader work that Rob's got to do, as he looks into the business. And as I said, for me, at the moment, it's just work with the assets that we've got and CGP3 when that ramps up and make sure that we're getting the very best out of all of those.
Jon Bishop: Okay. Maybe then as a follow-up and to take those comments a bit further. It sort of strikes me that I guess, given historical recovery rates out of the CGPs to date, there seems to be a huge amount of opportunity there to boost those in line with perhaps some of your hard rock peers, but that would surely drive, I guess, engineering designs and consideration around CGP4 if -- but nothing else that you should be getting more units of production out of those assets perhaps without even having to make major capital funding expenditures.
Ivan Vella: Yes. Look, I address that question in two parts. I think, first of all, benchmarking different producers in this space is not something that I've seen anyone do with full fact base and a like-for-like comparison. My own view is that Greenbushes is performing, particularly CGP1. In fact, it's performing extremely well in -- if I look at it across the market, CGP2 not as well, and there's work that the team has been doing to lift that. But there's a sort of general perception that Greenbushes is underperforming materially, and I don't think that's the case. It's -- I can think the challenge is that when you look under the covers of other players and the data that's available across the market, everyone is actually doing the accounting there a little bit differently. That said, I think your broader point is, is there more that we can get? Yes. And is the team focused on that? Yes, and the team are doing fantastic work. They've got a very clear plan. They're doing excellent thinking and work on improving recoveries. And I know that is the single best thing you can do in a business like that to lift our overall throughput and production, and they've got a great plan they're working through. So there's no shortage of emphasis. We'll focus on that. I think they've got very practical solutions in front of them that they're working on, and we'll continue to drive that. But I just guess -- I wanted to reinforce that I don't think they're coming from a place of being a long way behind the industry. I don't think that's actually true.
Jon Bishop: Okay. That's helpful. I realize I'm being cheeky, I'm asking a second question here, given I've asked a follow-up, but I'm going to do it anyway. Kwinana last quarter with your disclosure, you were talking about qualification processes and production awaiting shipment. I think you had about 4,000 tonnes in inventory. Can you provide some disclosure as to where those 2 elements are at the moment?
Ivan Vella: Yes. Look – I mean, the product they’re producing, I think it’s in our quarterly is great, right? The chemistry is fantastic. Obviously, the key issue with Kwinana is just volumes. So we’ve got a very good product, clean battery grade, very high yield as well. The market is hard and the team are working to place that and make sure we get the best for it. And we are still building inventory as productions ramped up. So they’re qualifying other customers, and they’re looking at our strategy there. I can’t say more than that at this point other than that is a very strong focus for the team, and make sure they build those long-term relationships to place that product across a number of customers without getting into specifics. You’ve seen, obviously, the pressure on some of the Western players in this space, and naturally, that affects the whole market when we’re selling outside of China.
Operator: Next question comes from Jon Sharp with CLSA.
Jon Sharp: A lot of good questions so far. So I'll just keep it to one. Just a question on the lithium market and more about your views and what you see when you look into your crystal ball, especially when you -- given the recent industry curtailments project delays, I guess what's your outlook and how you see the lithium market and the balance through the rest of the year and into '25?
Ivan Vella: Thanks, Jon. Look, I mean, I know better equipped to answer this than anyone else doing the analysis. My observations are that the market is oversupplied. Demand is still very, very strong in China and continuing to grow, and that’s fabulous to see. I mean we’ve talked in our strategy in other forums about the strength of their industry, both in Evs and stationary storage. I think the key new information that’s flowing or the piece there is the stationary storage, which is very impressive, and I think that’s driven partly because of the lithium price. There’s some – certainly some correlation analysts are pointing to there. So demand in China is good. The rest of the world, it’s a mixed bag. Europe is off a bit or Germany is off a bit. U.S. is up a bit. Net-net, it’s not really moving a lot. And so overall, we’re not seeing any big upswing in demand. On supply, it’s continuing to come online. And that’s, of course, keeping us pretty fully supplied and the price suppressed. I guess the big question that everyone is contemplating is will that supply adjust? Will people take some production off-line? And that’s – your guess as good as mine. I guess, we’re focused on Greenbushes, which certainly is going to keep producing well in these sort of conditions and generating margins, but what the rest of the market does, I can’t speak to.
Operator: Your next question comes from Rob Stein with Macquarie.
Rob Stein: A couple of quick ones. Nickel West, the suspension there, has that impact timing of any of your operations? And are you seeing any benefits or impacts at Nova relating to that?
Ivan Vella: Rob, yes, look, it just impacted our effectively sales process and receipts because of the change of where we're delivering the product to. It doesn't change the economics overall. It's just a timing impact, and that will flow through now in the next quarter so no big concern there.
Rob Stein: Yes. And then just in terms of ore milled, I know you don't disclose it, but ore mill at Greenbushes, but noticing that all mines was up, but not up enough to justify the [spot con] production results, were recovery flat quarter-on-quarter? Can we imply that ore milled was up proportionately with [spot con] production once you adjusted grade? How should we think about just triangulating that bit?
Ivan Vella: Yes. I'm not sure I fully understand. Rob, I haven't got the ability to give you a detailed reconciliation of all the ins and outs of that production, but recoveries were a factor in it as well. They were improved, and that was partly grade, partly performance. So the team also doing, as I said, some good work to continue to focus on recoveries. And it's obviously about throughput mill run time as well. And remember, there's multiple assets we're talking about here. The Tailings Retreatment facility, the 2 chemical grade plants and the tech grade plant.
Rob Stein: So the 4% and 2% increase in ore mined and grade respectively, you would have had to see a big sort of pick up in ore mills across the board to sort of get there. Have we chewed through a whole lot of working stock or ROM stocks there to do that? And can we expect to see that normalize going forward, i.e., the questions you were asked earlier on the call around annualizing the production rate will sort of have a catch up in later periods?
Ivan Vella: Yes. I mean I think separate the mine from the processing. This is an indication of processing capacity. The mine just – it’s changing away in the background, obviously, supplying the ore as we need it. And the key difference will just be the sequencing of the grades that they’re working through. You should absolutely come back to our guidance. That’s what we’ve said. No change to our guidance for the year. That’s what we’re intending. And this, I think, is just an example of what the capacity of those processing plants can offer.
Operator: Your next question is from Tim Hoff with Canaccord.
Tim Hoff: Perhaps just one quick one on Nova. Your payment terms appeared to have decreased slightly on payability. Is this a factor of losing Nickel West from the system?
Kathleen Bozanic: Was it payment -- just payment terms have seemed to decrease, is that what you've asked?
Tim Hoff: Payability on nickel has fallen...
Kathleen Bozanic: There’s no change as a result of the move from Kambalda to Esperance. The commercial trends are consistent.
Operator: Your next question comes from Levi Spry with UBS.
Levi Spry: TRP, what's the update there in terms of converting that to hard rock? Obviously, we're trying to triangulate what the medium-term production output looks like from this great asset. But, what are the next steps there? Or where are your studies up to?
Ivan Vella: Yes. Thanks, Levi. Look, it's some, I mean, first and foremost, keep it running well. It's doing a great job. Let's -- we're just going to keep that going until it finishes addressing the available [indiscernible] there, which is a fantastic value and returns. Beyond that, then, yes, we need to obviously take decisions as to what next. And do we modify it to be able to continue as a mainstream operating plan or do something else? And it's not something we've got a decision or something I can give you any clarity on yet, but that's absolutely the kind of discussions that Rob will be -- or he is working through with his team and thinking about the best pathway for us to deliver the processing capacity for the business.
Levi Spry: Yes. And just trying to understand the sequencing with CPG4 and I guess, urgency around these decisions?
Ivan Vella: Yes. Look, the – I guess what I’d say is that we will always focus on our existing deployed capital first. It’s the best return to where ever going to get. So CGP1, 2 and 3, and obviously, 3 ramps up, getting that to perform and improving the recoveries, throughput, reliability of those 3, which are the big plants, making calls with them on the Tech Grade plant and then the Tailings Retreatment plant. All of that’s going to come in front of an investment on CGP4. So – and what I’m saying is understanding how we get the best out of those assets and optimizing them and driving them to perform and deliver the best outcomes for the business. That’s always going to be ahead of new capital. CGP4 is a whole big different decision almost in a sense, thinking about footprint on that site, where and how we make the most of that. And then obviously, all the other factors that have to come into account with tailings, with water, et cetera, all of those decisions would come into that. We’ve done quite a bit of study on it. So we’ve got a view. And I think now with Rob there, he can give us that fuller picture about how he optimizes the sequence of changes in the optimization over the coming years to make sure we get the best out of Greenbushes. I guess, in summary, takeaway is we’re always going to focus on optimizing our existing assets first before deploying new capital.
Operator: That is all the time we have for questions today. I will now hand back to Mr. Vella for closing remarks.
Ivan Vella: Brilliant. Thank you. Look, we’re right on time, so I’ll keep it very short. Thanks again for joining and your questions. I guess I’d summarize on a couple of points. One, safety, mixed quarter, but ultimately, a key focus for us and something that I think is a core indicator of our capabilities as a mining business. A mixed quarter with Greenbushes producing well. Nova, obviously, having some challenges with grade and being below expectation. Standing back, I guess, still producing great outcomes in a very depressed market environment, and that’s something that we’re watching closely. Obviously, that’s key to how we look forward in the business. And we’re continuing to work hard now on the execution of our strategy, which we launched during the quarter. That’s it for now. Thanks for your questions and comments, and we’ll talk to you more in due course.